Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to the Omega Healthcare Investors Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. Thank you. I would now like to turn the call over to Michele Reber. Please go ahead.
Michele Reber: Thank you, and good morning. With me today is Omega's CEO, Taylor Pickett, President, Matthew Gorman, CFO, Bob Stephenson, CIO, Vikas Gupta, and Megan Krull, Senior Vice President of Operations. Comments made during this conference call that are not historical facts may be forward-looking statements, such as statements regarding our financial projections, potential transactions, operator prospects, and outlook generally. Factors that could cause actual results to differ materially from those in the forward-looking statements are detailed in the company's filings with the SEC. During the call today, we will refer to some non-GAAP financial measures, such as NAREIT FFO, adjusted FFO, FAD, and EBITDA. Reconciliations of these non-GAAP measures to the most comparable measure under Generally Accepted Accounting Principles are available in the quarterly supplement. In addition, certain operator coverage and financial information that we discuss is based on data provided by our operators that has not been independently verified by Omega. I will now turn the call over to Taylor.
Taylor Pickett: Good morning, and thank you for joining our fourth quarter 2024 earnings conference call. Today, I will discuss our fourth quarter financial results, management changes, and certain key operating trends. Fourth quarter FAD funds available for distribution of $0.70 per share reflects continued revenue and EBITDA growth which has allowed us to reduce leverage to below 4.0 times debt to EBITDA while continuing to deliver FAD growth in 2024. Our 2025 AFFO guidance is $2.90 per share to $2.98 per share, which reflects the first quarter 2025 of our significant fourth quarter share issuances offset by escalators and other opportunities throughout 2025. We recently announced management changes with Matthew Gorman named President, and Vikas Gupta named Chief Investment Officer. I am extremely confident in their ability to lead our exceptional team in the upcoming years. I would also like to thank Dan Booth.
Michele Reber: I had the opportunity to work with Dan for over thirty years.
Taylor Pickett: Twenty-three years here at Omega. Dan's many contributions to Omega, an important driver of Omega's outperformance of not only other healthcare REITs, but all REITs for the last twenty-three years. Lastly, in 2024, the team did a great job staying disciplined whilst sourcing and closing thirty-six transactions deploying approximately $1.1 billion in capital. The 2025 acquisition pipeline remains active. I will now turn the call over to Bob.
Bob Stephenson: Thanks, Taylor, and good morning. Turning to our financials for the fourth quarter. Revenue for the fourth quarter was $279 million compared to $239 million for the fourth quarter of 2023. The year-over-year increase is primarily the result of the timing and impact of revenue from new investments completed throughout 2024, operator restructurings, and transitions, partially offset by asset sales completed during that same time period. Our NAREIT FFO for the fourth quarter was $196 million or $0.68 per share as compared to $129 million or $0.50 per share for the fourth quarter of 2023. Our adjusted FFO was $214 million or $0.74 per share for the quarter, and our FAD was $202 million or $0.70 per share and both exclude several items outlined in our NAREIT FFO, adjusted FFO, and FAD reconciliations to net income, down in our earnings release as well as our fourth quarter financial supplemental, posted to our website. Our Q4 FAD just under a half penny greater than our Q3 FAD. Which is impressive if you remember in Q3, we issued fourteen million shares for $530 million in gross proceeds at an average price of $37.32 per share. These fourteen million shares issued at the end of the third quarter were not fully included within the weighted average third quarter share count. As outlined in our earnings press release, during the fourth quarter, we completed $340 million in new investments and funded the investments through the issuance of an additional eleven million shares of equity for gross proceeds totaling $438 million at an average price of $40.19 per share. Our balance sheet remained strong at year-end as we ended the year with over $500 million in cash that was used to repay a $400 million bond on January fifteenth, 2025.
Bob Stephenson: We ended the month of January with over $240 million in cash. The full borrowing capacity of our $1.45 billion credit facility, and approximately $820 million available under our ATM program. All ready to deploy as needed in new investments. As long as your equity currency remains favorable we will continue to prefund investments by issuing equity. At December thirty-first, ninety-five percent of our $4.9 billion in debt was at fixed rates, and our fixed charge coverage ratio was 4.7 times and our net funded debt to annualized adjusted normalized EBITDA was 3.96 times. Which is the lowest our leverage has been in ten years. We still have a target leverage range between four to five times with the sweet spot being between 4.5 to 4.75 times. As we continue to fund acquisitions accretively with equity, we position ourselves for outsized AFFO growth once we decide to reenter the bond market. As Taylor mentioned, we provided our full year adjusted FFO guidance of a range between $2.90 to $2.98 per share. A few of the key 2025 guidance assumptions are we're assuming no change in our revenue related to operators on accrual basis of revenue recognition as a note, over seventy-five percent of our operators are currently on a straight-line basis of accounting, which means any growth in revenue through annual escalators will not yield further growth in adjusted FFO but growth in cash flow. We're assuming Maplewood's ability to take contractual rent continues to improve. Of the $260 million in mortgages and other real estate-backed investments contractually maturing in 2025, $124 million will convert from loans to fee simple real estate and $28 million will be repaid throughout 2025.
Taylor Pickett: We are assuming the balance of the loans
Bob Stephenson: will be extended beyond 2025. We're assuming $56 million in asset sales related to assets classified as held for sale we recorded $1.9 million of revenue, in the fourth quarter. We've included the impact of new investments completed as of February fifth. We project our quarterly G and A expense to run between $12 million to $14 million in 2025, the first quarter, typically, being the highest quarter. We assume we will repay our $230 million of secured debt in November 2025. We assume no material changes in market interest rates as they relate to either interest earned on balance sheet cash or interest expense charge on credit facility borrowings. Finally, consistent with how we ended 2024, we assume we will position ourselves with enough on the balance sheet by the end of 2025 to repay our January 2026 $600 million bond maturity. As a reminder, to the extent our equity currency remains favorable, and we continue to prefund investments or prepare for debt maturities for every four million shares issued assuming shares are issued at prices consistent with 2024,
Taylor Pickett: or quarterly
Bob Stephenson: adjusted FFO is negatively impacted by slightly less than one penny per share while our leverage improves or is reduced, by approximately 0.15 times until the cash is put back to work in new investments. For 2025, adjusted FFO guidance does not include any additional investments or asset sales as well as any additional capital transactions other than what I just mentioned or what was included in the earnings release. I will now turn the call over to Vikas.
Vikas Gupta: Thank you, Bob, and good morning, everyone. Today, we'll be discussing the most recent performance trends for Omega's operating portfolio and Omega's investment activity in 2024, and share insight into Omega's pipeline for 2025. Turning to portfolio performance. Trailing twelve-month operator EBITDAR coverage for our core portfolio as of September thirtieth, 2024 increased to 1.5 times versus 1.49 times for the trailing twelve-month period ended June thirtieth, 2024. We want to highlight that the most recent quarter's performance is a continuation of trailing twelve-month coverage improvement across our portfolio over the past year. These ongoing improvements were reflective of the strength and expertise of Omega's operating partners the resolution of nearly all of Omega's portfolio restructurings over recent years and the disciplined allocation of new investment capital over the past year, Despite continued pressures from suboptimal labor and reimbursement levels, in select markets, the industry landscape continues to improve. As a result of the growing aging population, and our operators' abilities to serve an increasingly complex resident population. However, with occupancy now approaching pre-COVID levels, we would expect any future coverage increases to be more modest. As of today, only major operator Omega is engaged in restructuring activity with is Lavee. Lavie continues to work towards exiting bankruptcy in the second quarter of 2025. But the effective date of such exit is conditioned upon the rulings on pending motions before the bankruptcy court. In the interim, Omega expects to continue to receive full contractual rent of $3.1 million per month or $37.5 million per annum. Turning to new investments. As Taylor previously mentioned, Omega's transaction pipeline in 2024 was very strong. With over $1.1 billion in new investments. These transactions varied in size and nature, demonstrate Omega's ability to adapt to the evolving investment landscape in the long term carrying Three. In 2024, we continue to support the growth of our existing and new operators by focusing on strong credit-backed real estate investments, and real estate loans with exceptional returns. That often provide Omega with the ultimate opportunity for real estate ownership. Specifically, I'll be approximately $359 million or 31% of Omega's new investments in 2024 that were real estate loans. Over $124 million or one-third of those loans provide Omega with the opportunity to acquire the underlying real estate upon with long-term triple net lease structures already negotiated. The balance of new real estate loans made in 2024 supported existing operator relationships or facilitated our borrowers' acquisitions of distressed assets, at prices well below replacement costs. Also, the UK was a large driver of our 2024 new investments. Totaling over $782 million or 68% of our total new investments.
Vikas Gupta: We've been investing in the UK for over a decade now
Megan Krull: and have accumulated a strong bench of operators and other relationships there. Which lead us to highly accretive investment opportunities. Looking at the fourth quarter of 2024, Omega completed a total of $363 million in new investments. Inclusive of $23 million in CapEx. The new investments include $179 million in real estate acquisitions across four transactions, which have an average initial annual cash yield of 9.9% and $162 million real estate loans, which have a weighted average interest rate. Of 10.9%. A large portion of these new real estate loans $101 million or 62%, provide Omega with the opportunity to acquire the underlying real estate upon maturity. Subsequent to the fourth quarter of 2024, Omega closed on $26 million in new investments. Excluding CapEx. These investments include a $10.6 million acquisition of two facilities with an initial cash yield of 9.9% via new lease with a new operator and a $15.4 million mortgage to an existing operator for two facilities with an 11% interest rate. Turning to the pipeline. Omega's pipeline and transaction outlook for 2025 continues to be quite healthy. We continue to see marketed opportunities both in the US and the UK. While also benefiting from off-market opportunities that our existing operating partners and other relationships bring us. Based on the current lending environment, is our expectation that we will continue to receive inquiries for real estate loans. While we continue to evaluate and engage in select loan opportunities. Primarily for existing operator relationships. Our priority will always be to allocate capital towards accretive owned real estate deals to grow our balance sheet. So we'll now turn the call over to Megan.
Megan Krull: Thanks, Vikas, and good morning, everyone. As with the start of any new administration, there are a lot of unknowns before us. And while it is too soon to tell what lies ahead, there are many reasons to feel secure about where we currently stand. As Vikas mentioned, coverages are the strongest they have been in years. Which is reflective of the continuing recovery from the pandemic. The industry still grapples with the overhang of many issues, most notably staffing shortages, but for now, things appear relatively stable. While the Trump agenda specifically called entitlement reform into the forefront of potential policy changes, we also know that President Trump supported this industry with government aid when it was the most critical during COVID. We hope that understanding of the importance of this industry hasn't been lost. We continue to monitor the various efforts against the staffing mandate, As I noted last quarter, a motion for summary judgment was filed in the federal court case in the state of Texas brought by certain industry associations amongst others which we still hear could be decided as early as the end of this quarter or early next quarter. While the twenty attorneys general who filed suit against the mandate in federal court in Iowa lost their plea for preliminary Ten. Case continues moving forward as well. Irrespective of the court cases, a legislative repeal is still very much a possibility given that the reversal of the rule would stand to save the federal government $22 billion over ten years according to the Congressional Budget Office. We are still very hopeful that the rule will ultimately be overturned and we hope that any future rulemaking surrounding reimbursement, or regulation is done so with an even hand an understanding of what is truly at stake. I will now open the call up for questions. At this time, I would like to remind everyone in order to ask a question, press star then the number one on your telephone keypad. We ask you to limit yourselves to one question and one follow-up. We will pause for just a moment to compile the Q and A roster. Comes from the line of Jonathan Hughes with Raymond James. Please go ahead.
Jonathan Hughes: Hi. Good morning. Thanks for the prepared remarks and commentary, and congrats to Matthew and Vikas on their new roles and Dan on a great career. Vikas, I was hoping you could share some more details of what the investment pipeline looks like today in terms of, you know, dollar size, yields, and then fee simple acquisitions versus loans.
Vikas Gupta: Yeah. Thanks, Jonathan. So the pipeline, as I said in my prepared remarks, looks strong. It's a little bit more heavily weighted right now in the UK. But that can change as things progress. And we're mostly looking at small mid-size deals at this time. A bit more real estate focused. Which we're just gonna continue to pursue more than loans at this time. But, again, all of that can change as things play out.
Jonathan Hughes: Okay. And I think I heard in the maybe Bob's prepared remarks, there are some loans that are converting to fee simple ownership this year. Was that always the plan for those, or you know, were those operators so pulled to refi and due to the challenging lending environment, this is kind of the option that they're left with.
Vikas Gupta: Yeah, Jonathan. This is Vikas again. So we did a few loans last year knowing that they would convert to leases. That was done primarily due to regulatory timing in the UK. Takes a long time to get those approvals in the UK. So we with loans so our operators, borrowers could get the deals done, and then the terms are short. They're all within this year. They'll convert them. Leases real estate leases.
Operator: Your next question comes from the line of Michael Griffin with Citi. Please go ahead.
Michael Griffin: Great. Thanks. Appreciate the color kind of on the, you know, the rego insight into kind of the labor environment and demand there that your operators are seeing and is there any worry that potential immigration reform could impact the labor pool and maybe further pressure wages?
Megan Krull: Yeah. I mean, look. The labor environment is still tough, especially in the more rural areas. And that is probably going to be continue to be tough for a long time, unless something changes. And so the immigration policy is definitely going to play into that. To the extent that we can legally bring in immigrants to supplement the nursing force, that helps. And we'll just have to wait to see how that all progresses. But we haven't seen any impact on the immigration policies as of this time.
Michael Griffin: Thanks, Megan. That's helpful. And then maybe a question for Vikas, just getting back to the acquisition pipeline and the opportunity set. There's been some news over the past couple of months just around SNF operators and maybe financial and Tenet Health is coming more into the focus. I'm curious if you've seen more scrutiny on underwriting perspective deals, whether it's from a rent coverage perspective, you know, just given maybe there could be some potential issues or worries around operator health. Again, it seems like it's more idiosyncratic to certain tenants, to certain operators, but have you seen a change in kind of underwriting from that perspective?
Vikas Gupta: No. We really haven't. We continue to underwrite the way we have historically. Credit-based deals with strong operators and I think, you know, I agree with your point. It is more idiosyncratic.
Operator: Your next question comes from the line of John Pawlowski with Wells Fargo. Please go ahead.
John Pawlowski: Thank you. Maybe I'll just follow-up Griff quickly on one more on the pipeline. Maybe could you talk more about the competitive landscape today and your expectation around going to yields?
Vikas Gupta: Yeah. I mean, we aren't seeing a big change in competitive environment. I mean, there are family offices, private investors, both in the US and the UK. We're seeing less competition in UK right now due to lack of capital there. But, otherwise, we're not seeing a big change in competition. As for yields, we're staying where we've always stayed. Close to ten percent. And we're able to deploy capital there.
John Pawlowski: Understood. And then maybe one for Bob here just on balance sheet fortification. Your leverage is at four times long-term target of four to five times. So not a pressing need to deleverage here.
Bob Stephenson: But according to the guide, there's gonna be some material equity issuance here to delever in the back half of twenty-six maturity. One, could you kinda give us the guide for, you know, what that number is? Obviously, x any acquisition activity, and then maybe more of your thoughts about, you know, the decision to firm up the balance sheet at the expense and maybe some incremental dilution here. And what are you looking at? Is that the relative spread of your AFFO yield? To the current cost of ten-year paper versus what it's been historically.
Bob Stephenson: That that's a correct statement, what you just said. So they had a couple there were a couple of questions in there. So we're gonna treat the guidance similar to what we did in twenty-four be prepared to handle what debt maturity coming due in twenty-six. Similar to what we did for the one we just paid off. Given our cost of equity right now, you know, if we're taking advantage of that, we'll be opportunistic. The guide does not have future acquisitions in. But in order to get the six hundred million, need to issue the equity there. We will be opportunistic. If the bond market turns around and we can issue bonds, we'll go we'll do that. I mean, we've always been in a position to readily hit either the equity or bond market. Yeah.
Operator: Your next question comes from the line of Juan Sanabria with BMO Capital Markets. Please go ahead.
Juan Sanabria: Hi. Good morning. Just following up there on the same line of questioning. What share count, I guess, is assumed or much equity is assumed to raise as part of guidance to pay material loans both this year and then to prep for the twenty-six Jan maturity you referenced.
Bob Stephenson: I don't know. We're not giving out the exact share account. On, but, you know, it's really gonna be to get to the six hundred million, show count's gonna be driven by the price and the timing that I issue that equity to get to six hundred million. So the price is high. That's equity needed. You know? That's the upside of the guidance and if the price goes down from where we are today or historically, what we had in the third or fourth quarter, and it's still accretive to do it that way. We we find it and we'll be at the lower end of that gauge.
Juan Sanabria: Okay. And you're assuming other remaining twenty-five debt maturities are also repaid with cash slash equity. Is that is that correct? Just to make sure.
Bob Stephenson: That that's correct. Yeah.
Operator: Your next question comes from the line of Nick Yulico with Scotiabank. Please go ahead.
Nick Yulico: Thanks. Couple questions just on Maplewood and then the Guardian transition assets. If you could just give us a you know, a feel for kinda where you're at in terms of getting back to sort of a maximum rent you know, on those on those operators and, I guess, specifically on Maplewood, you know, as we think about the second half of the new asset, how that maybe an update on how that occupancy is trending and how important that is to know, to get back to the the full Maplewood rent.
Vikas Gupta: Yep. Nick, this is Vikas here. So on Maplewood, our total portfolio's occupancy is now at ninety-one percent. That includes second avenue. And second Avenue itself is at eighty-five percent. So things are looking good there for our core portfolio with Maplewood. They've paid strong rent in January, and we feel like that rent is the sustainable, if not we'll go up as occupancy increase in the second half. So overall, we feel very good about Maplewood at the moment. For Guardian, that transition happened last year to a new operator. They hit their high threshold of rent, and we will just see what happens in the future. But right now, everything is going as planned.
Nick Yulico: Thanks. And then just to be clear, the guidance for the year assumes that it's just both those operators are, you know, pay existing rent that they're paying, that they're not paying, you know, the higher level.
Bob Stephenson: That that is correct. You know, if I make Woods at the higher level, that's one of the components. That that takes it to our higher end of our guidance.
Operator: Your next question comes from the line of Farel Granite with Bank of America. Please go ahead.
Farel Granite: Hi. Good morning. Thank you for the question. I wanted to touch on the EBITDAR coverage. I know that you made the comment that the increases may be a little bit more modest going forward. But can you go through a little bit of the moving pieces and maybe how that's looking if it wasn't a trailing four quarters, specifically when tying in, I also see the the less than one times coverage had a a larger ding on us on a small, rent percentage.
Vikas Gupta: Yeah. I mean, in terms of that that one operator under one time, that's a that's a one facility deal that we acquired as part of a larger transaction. It's not a typical asset class for us. It's not a SNF. It's not an ALF. It's a special hospital, and they have very volatile earnings, so they bounce all around. So that I don't think is indicative of anything that you would expect to see in the rest of the portfolio. We continue to see good performance from the rest of our portfolio and continuing to see, you know, everything moderate and, be strong.
Farel Granite: Also on that mix, I also saw the there's a slight uptick in the private insurers kind of a larger one than I've seen in the last couple of quarters. And I was curious, what was driving that? And are you seeing the payer mix shifting more towards private.
Vikas Gupta: You know, it's just a highly dependent on the deals that we do. So as we do more UK deals, that private pay is gonna come up a bit.
Operator: Your next question comes from the line of Michael Carroll with RBC Capital Markets. Please go ahead.
Michael Carroll: Yep. Thanks. I wanted to circle back to Maplewood. I mean, how is Maplewood to really ramp up their EBITDAR now versus beginning of twenty twenty-four. I mean, if you look at the twenty twenty-four rent, I think the quarterly rent increased by roughly a million between one Q and four Q twenty-four. I mean, should we expect the similar ramp up in twenty twenty-five or or given that the development in New York is occupancy is improving that it could be higher than that?
Vikas Gupta: Yeah. This is Vikas. I mean, we see things getting better this year. Occupancy at second avenue now is at eighty-five percent. The team feels at Maplewood that we'll get to above ninety percent later this year. So things are in the right direction. I mean, we just have to see how this plays out over the next few months. But, I mean, it'll still take one to two years to stabilize the entire relationship.
Michael Carroll: Okay. And then circle back. I think you probably touched on this a little bit related to the investment pipeline. But are any buyers or sellers acting differently today specifically, for the US properties, just given the volatility we've seen in interest rates and the political environment discussing potential I guess, Medicaid restructuring. Have people slowed down their investment activity? Has sellers been more aggressive trying to get out? Have you seen anything like that occurring?
Vikas Gupta: No. We've not seen any dramatic changes today. As Megan said, I think we're all just waiting to see what plays out, if anything. At the current time, we're underwriting. We think our peers are underwriting the same way they always have. So no material changes at this time.
Operator: Your next question comes from the line of Alex Fagan with Baird. Please go ahead.
Alex Fagan: Hi. Hopefully, you guys can hear me. Thanks for taking my question. So going to the UK exposure, I think it's about a little over fourteen percent. What are you comfortable getting that up to?
Matthew Gorman: Hi, Alex. It's Matthew here. I don't think we have a target in mind. I think we look at each deal on its own merits. We think that the UK is highly compelling investment opportunity at this point in time. You have very similar dynamics as you have in the US SNF market in terms of very limited new supply, burgeoning growth opportunity in terms of of an aging baby boomer demographic. And we've developed a really good platform of operators there that are keen to grow and have the financial and operational capability to do so. So I think we will continue to grow that portfolio, obviously, as it grows. We evaluate it in the mix of everything. I don't think we have a threshold over which we would want to go. I think it's just gonna be based on what opportunities we see in the US and UK markets.
Alex Fagan: Alright. And thank you. And does Omega have a plan to maybe hedge the UK cash flows as it grows.
Matthew Gorman: It's definitely something we're talking about internally. Yes. Even where the dollar has gone against the pound right now, you feel like you might be bottom taking the market a little bit. So I think it's something that we will continue to look at. But as of today, we haven't got any definitive decisions around that.
Operator: Your next question comes from the line of Emily Meckler with Green Street. Please go ahead.
Emily Meckler: Thank you very much. Have the increased employment taxes and increased minimum wage in the UK had a noticeable impact on coverage levels for your UK portfolio. And does this kind of change your underwriting criteria moving forward there?
Vikas Gupta: Hi. This is Vikas. No. We've seen no dramatic changes due to this. Due to those changes in the UK at this time.
Emily Meckler: Okay. Great. And then maybe one for Megan. Could you give us a sense for what percentage of workers in skilled nursing facilities are foreign born?
Megan Krull: You know, I do not have that information. I'm not sure. You know, I do know that, obviously, you know, some of the legal immigration that's been happening over the last few years, some of our operators have brought folks in, but we don't know the percentages.
Operator: Your next question comes from the line of Jonathan Hughes with Raymond James. Please go ahead.
Jonathan Hughes: Thanks for the follow-up. Bob, I was hoping you could give us some details on FAD or cash earnings expectations. Should that gap between AFFO and FAD be similar to last year? It's it's narrowed by about half over the past, call it, pre-COVID versus today. So and I know that's because some operators shouldn't move from cash to accrual, but just any color there would be great. Thanks.
Bob Stephenson: Yeah. You're right. We don't give FAD guidance, but big picture, that relationship will be pretty similar to Q4. I think you just gotta there's two points to remember on that. I already stated that seventy-six percent of our revenues on a straight-line basis so that less escalators hit, they don't impact AFFO. But they do impact FAD. So that's twenty-three percent of that that are we'll have some closing of the gap there. And then just remember with the Maplewood DC asset, that capped interest goes away as revenue, it will be recording revenue on those assets.
Jonathan Hughes: Thank you.
Operator: Your next question comes from the line of Vikram Malhotra with Mizuho. Please go ahead.
Vikram Malhotra: Morning. Thanks for the question. Guess just first back on the UK, could you just talk about how much of the push in the UK kind of in twenty-five, twenty-six, maybe perhaps a little bit of a hedge against changes and potential changes in Medicaid or other changes here. And then in the UK itself, what about raising debt in the UK also versus the US?
Matthew Gorman: Sure. Thanks, Vikram. It's Matthew again. On the first question, I don't think it's really a hedge effort on our part. I think it really is just the seeing a lot of opportunities in the UK right now to transact with quality operators. And so we're taking advantage of that market and so I feel like our US Medicaid how we feel about the US Medicaid market hasn't fundamentally changed. Over the last twelve months. And certainly, even with the new administration, I think that, you know, Medicaid will continue to be a necessary part of the funding environment. If you look at a lot of the transactions we were doing, early in the year in 2024, where we really didn't know what the administration would look like. So it's really just a reflection of the fact that we've seen good opportunities over there. In terms of the debt side of things, we continue to look at the best way to fund. Both from a hedging standpoint and from an interest rate standpoint, candidly, the numbers that were often quoted initially in terms of the debt interest rates we could get are not what we're actually seeing when we when we look to potentially execute on stuff over there. So as a result, we've continued to fund any debt in the US. Again, we'll keep looking at that should the opportunity exist to have a favorable interest rate in the UK, we would obviously look to execute.
Vikram Malhotra: Got it. And then just perhaps going back to potential regulation, I mean, do you have thoughts or just based on I guess, if you've had conversations with folks in DC, kinda what what route could the minimum staffing take legislatively versus legal? And then any thought on what's been proposed by the Republican party in terms of whether it's FMAP changes or, you know, adjustments to, like, including quality measures or even block grants. Just maybe give the bigger picture. I know there's a lot of there's a lot being thrown out there. We don't know what's gonna happen, but it's not specifically on those. Kinda what's your view on those changes?
Megan Krull: Let me look on the staffing mandate. We think the Chevron doctrine being gone away is going to help us with the the legal case. And, certainly, if the legal case depending on how that's decided, we think less legislatively, this is probably going to go away given the price tag on it and the effort by the Republican Party to cut costs. So we're very hopeful on the staffing mandate side as is ACA. In terms of what else could happen, you know, it's really too soon to tell. What exactly would would go on and what would be tasked congressionally. But if you think about block grants, I mean, there's been conversations about block grants for a long, long time. ACA would very much so push for some sort of per capita cap so that an if enrollment increases, they funding increases as well. And they would look for some sort of inflationary increases on the long-term care side plus some factor above that. So ACA is very involved in all of that and the lobbying effort. So we feel very good about, you know, what they would be able to accomplish. But, again, too soon to too soon to tell. But, again, as I mentioned, you know, we feel pretty good about where our coverages are. We feel good about the fact that we have a president who was very supportive of this industry during COVID. He really stepped up big time for us and really recognized that this in the industry is is too important to fail. So we we hope that that will continue and that understanding will continue and nothing draconian will happen. And then when we talk about you know, where the federal spending is, if you think about total Medicaid spending, over twenty-five percent of the Medicaid the federal portion of Medicaid spending is spent on Medicaid expansion, which is what came about via the Affordable Care Act. And so that covers non-elderly adults that do not have children. So that's over twenty-five percent of that spend. And that is that constitutes ninety percent of the federal government money is going towards Medicaid expansion expansion as opposed to sixty percent going towards the rest of Medicaid. So we really view that Medicaid expansion as being the low hanging fruit that's probably the first path. It doesn't mean that the rest of Medicaid isn't semi at risk, but we feel pretty good about the position that we're in.
Operator: Your next question comes from the line of Juan Sanabria with BMO Capital Markets. Please go ahead.
Juan Sanabria: Thanks for the time for the follow-ups. Just going back to the the deals that you've done both last year and historically, I guess what should we assume is baked and likely to convert in twenty-five and how should we think about the delta between the rate that you're getting as a lender versus what you get for as you convert it to traditional fee simple?
Vikas Gupta: Yeah. Well, this is Vikas here. As I said in my prepared comments, we have $124 million that we plan to convert this year, and it is at basically the same rate. I don't think there's any pickup there. To the model, but we plan for about $124 million all to convert this year.
Juan Sanabria: Okay. And then just last question, anything on the loans or rents that are maturing that we should be factoring in the model whether rent increase stable rent or or step or or cuts. Or anybody that you're looking to retain as part of maturities?
Bob Stephenson: Well, the twenty-eight million is being repaid. That that cash will just sit on the balance.
Bob Stephenson: Sheet earning some interest. And then the other ones, as they get pushed, there's no change. The guide there. It's at the same rate.
Operator: Your next question comes from the line of Nick Yulico with Scotiabank. Please go ahead.
Nick Yulico: Thanks. Yeah. Just follow-up, Bob, on the guidance and investments not being in it versus the cash on the balance. At the end of the year assumed. Is there just a rough feel you can give us in terms of know, if you do a certain level of acquisitions, say five hundred million dollars, how we should think about the incremental debt equity that would be raised for that? Because it does feel like there's some, like, prefunding of capital that's already in your your guidance this year, but the investments are.
Bob Stephenson: You you are correct. So the prefunding is the the two hundred and thirty million of secured debt that we're gonna pay off in November, and getting the six hundred million. Remember, we do cash flow from operations, so you get factor that in, and we have the the the little bit of loan repayment talked just talked about. Again, in my stated remarks that we are gonna prefund acquisitions as the pipeline gets closer. It's just not in the guidance because the acquisition's not in the guidance. So have to take both of those in the consideration there. I know that doesn't answer it in the next it's yeah.
Nick Yulico: Yeah. Yeah. Yeah. It's it's it's it's it's helpful. I guess, just one one follow-up there is on, is there a way to give us a feel for, like, how your average cash balance might look through the year? Because there is some interest income benefit, I'm guessing, here in the in the guidance. So Okay.
Bob Stephenson: Yeah. Well, it's hard again, and that's what gets me to the high and the low end of my my range. But you know, as I stated on the call, we had two hundred million of cash. Flip over two hundred million dollars of cash at the end of January. But we do have a big dividend payment coming up and let's so I would think first quarter will be the the lower quarters, and this really gets back to what is our price, how quickly we based on that price, to reissue equity to build up to that six hundred million. In reality, as you're building up, you're gonna use it for acquisitions. So It's really hard. I I apologize, but it's hard.
Nick Yulico: Okay. Yeah. It does. Thanks for that, Bob.
Operator: I will turn the call back over to Taylor Pickett for closing remarks.
Taylor Pickett: Thanks everyone for joining the call today. As usual, the team will be prepared for any follow-up questions you may have. Have a great day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.